Operator: Good morning. My name is Amy, and I will be your conference operator today. At this time, I would like to welcome everyone to the Teradyne Q1 2016 earnings conference call. [Operator Instructions] Thank you. Mr. Blanchard, you may begin your conference.
Andy Blanchard: Thank you, Amy. Good morning, everyone, and welcome to our discussion of Teradyne’s most recent financial results. I’m joined this morning by our CEO, Mark Jagiela, and our Chief Financial Officer, Greg Beecher. Following our opening remarks, we will provide details of our performance for the first quarter of 2016 and our outlook for the second quarter of this year. The press release containing our first-quarter results was issued last evening. We are providing slides on investor page of the website that may be helpful to you in following the discussion. Those slides can be downloaded now, or you can follow along live. Replays of this call will be available after the call via the same page after the call ends. The matters that we discuss today will include forward-looking statements that involve risk factors that could cause Teradyne’s results to differ materially from Management’s current expectations. We encourage you to review the Safe Harbor statement contained in the earnings release, as well as our most recent SEC filings. Additionally, those forward-looking statements are made as of today, and we take no obligation to update them as a result of developments occurring after this call. During today’s call, we will make reference to non-GAAP financial measures. We’ve posted additional information concerning those non-GAAP financial measures, including reconciliation to the most directly comparable GAAP financial measures, where available, on the investor page of our website. Also, between now and our next earnings call, Teradyne will be participating in investor conferences hosted by Cowan, Craig-Hallum, Credit Suisse, and Stifel Nicolaus. Now let’s get on with the rest of the agenda. First, Mark will comment on our recent results and the market conditions as we enter the second quarter. Greg will then offer more details on our quarterly financial results, along with our guidance for the second quarter. We’ll then answer your questions, and this call is scheduled for one hour. Mark?
Mark Jagiela: Thanks, Andy, and good morning everyone. In my prepared remarks today, I’ll cover three main topics. The highlights of our first quarter, the outlook for the remainder of 2016, and some thoughts on our longer-term direction at Teradyne in the context of industry trends we are observing. First, we are off to a very good start in 2016, with our highest Q1 sales since the first quarter of 2001. Sales were up over $100 million, or 37%, when compared to the Q1 average of the last three years, driven by strength in semiconductor test and the added contribution of Universal Robots. Higher revenue also drove our highest Q1 earnings since 2011. As we discussed last call, strong orders in semi-test in the fourth quarter of 2015 have resulted in a more level loaded tooling cycle for this year’s capacity expansion in mobility test. As a result, when compared to recent periods, we expect to see less revenue volatility in the first three quarters of the year. As a result of the fourth-quarter pull-ins, total Company orders for the first quarter softened 25% from Q4. However, if we look at the six-month Q4/Q1 period, orders were up about $90 million, or 11%, from the comparable period in 2014 and 2015. Furthermore, first-half revenue at the midpoint of our guidance will be up about $100 million, or 12%, from the first halves of 2014 and 2015. So I will again emphasize that what we are seeing in our order patterns is a welcome shift to a more orderly, more efficient, and less lumpy shipment stream. In semiconductor test, mobile products continue to power SOC demand. On the one hand, while the slowing growth of semiconductor units is a bit of a headwind in the current environment, other underlying drivers of test demand are operating in full force. Increasing test times from growing device complexity and the reduced impact of parallel test are tailwinds for us, going forward. We’re also seeing an added lift from the adoption of more advanced packaging technologies, as well. In analog test, we’re seeing a step up in Eagle demand from the low levels of the second half of 2015. Similarly, J750 demand is beginning to grow off a soft 2015 second half. Memory test is also seeing strong demand despite the challenging environment, as technology bus for increasing NAND flash bus speeds continues. Additionally, 2015 design wins in DRAM wafer test have added a new revenue stream to our memory business. In systems test, total orders were down sequentially on light storage test demand. But excluding storage test, orders were up about 5% sequentially and up over 40% from the first quarter of 2015. Production Board test demand remained solid in the quarter, driven by growing success in the automotive sector, and in defense and aerospace. Our AIT module instrument business saw strong demand for serial bus instruments from defense contractors. Storage test orders will continue to remain lumpy on a quarterly basis, due to its narrow customer base. At LitePoint, the industry-wide slowdown in wireless test demand resulted in softer orders and shipments for the first quarter. Despite the overall slowdown, a bright spot was improved demand for our modular instruments used in Wi-Fi and cellular RF front-end component characterization. These modular instruments share the same measurement technology with our LitePoint system level production testers, easing device correlation and shortening time-to-market for new wireless products. Universal Robots had a very good quarter, with sales growth of 58%, to $16.7 million from the 1Q period of 2015. We are also beginning to see the start of UR revenue synergies with Teradyne systems test and LitePoint customers. As noted at the time of acquisition, sales cycles for these large customers tend to be long, as the evaluation periods can last 9 to 12 months. I should also remind everyone that UR sales tend to peak in the fourth quarter of each year, and that our objective is to maintain a minimum 50% annual growth rate in this business. Of particular note, Q1 sales in China nearly tripled year over year, and we expect this market to become the largest cobot consumer in 2018 and beyond. Before turning to the rest of 2016, I want to comment on the earthquakes that hit Kumamoto, Japan earlier this month. As you may know, we have engineering production and support operations in Kumamoto, and the second and larger earthquake was centered very near our facility. Thankfully, no employees or their families were injured in the quake, but our facility suffered heavy damage and we are temporarily transferring some operations to other facilities in Japan and elsewhere while we work to restore full operations at the Kumamoto facility. We do not expect any material impact to our shipments in the quarter. Looking at the full year, the outlook for our end markets remains unchanged from the January call. Semiconductor test is expected to be in the $2.1 billion to $2.5 billion range for SOC test, driven by mobility and automotive demand. The familiar year off, year on pattern is progressing again this year, with the market up 10% at the midpoint of our estimated range. High-end SOC test demand for mobile products is driving the market early in the year, and given past buying patterns, there is potential for microcontroller and analog to contribute more meaningfully in the latter half of the year. In memory, we expect a $500 million market, unchanged from our January outlook. In systems test, we expect storage test to slow this year after a very strong 2015. After more than doubling in sales last year to about $90 million, we expect to see storage test sales in the range of $60 million to $80 million in 2016. For the remainder of systems test, we expect our production board test and defense businesses to look very similar in 2015, with some modest upside potential from our expanding product lineup. The wireless test market is expected to remain in the $400 million to $500 million range this year, but trending toward the low end of the range. The incremental changes in wireless technology in 2016 have not offset the decline in unit growth rates. New Wi-Fi standards, such as 802.11ad, will roll out over the next few years, which will open up new spectrum and require new tooling of test equipment. The cobot market is not tracked with the level of third-party detail that we see in semi-test, but based on our analysis, we pegged the market at between $150 million to $200 million for 2016. This is up from about $100 million in 2015, and we expect UR to grow at or above the market rate. With a solid core and an efficient operating model in place, we are able to look at the longer term and our strategy for growth. We have positioned the Company to serve attractive markets well aligned to long-term global trends. Semiconductors and electronic systems provide the building blocks needed to address worldwide challenges in energy, environment, health care, transportation, productivity, entertainment, and much more. These systems, increasingly connected to sensors and wireless communications, are exploding in complexity and we’re providing the test solutions that ensure they operate as designed. With the addition of Universal Robots, we are now even more directly enabling the global transition to advanced automation, sometimes called Industry 4.0, one of the biggest transformations in industrial production ever experienced. We are at the very earliest stages of this transformation that should propel industry for decades to come. Already, the Universal Robots cobot innovation of enabling safe, easy to deploy automation with a quick ROI is reaching a broad range of industries and geographies. Industries as broad as food and agriculture, electronics, automotive, apparel, machining, pharma, and chemistry, and many others, are adopting cobots to improve quality and efficiency. Put this all together and we see a cobot market that will continue to grow at a greater than 50% per year rate, creating a $1 billion plus market by 2020. We’ve also noted third parties that have pegged the market at over $3 billion in 2020 and over $6 billion in 2025. UR’s easy-to-use software, allowing quick deployment and equally quick redeployment, combined with its safety and operational performance, have established us as the clear leader in this market, with about a 60% share. As Greg will note shortly, we’re making the investments in UR necessary to extend this lead. Additionally, we continue to explore selective M&A investments to further capitalize on our position and extend our lead. Of course, the share repurchase and dividend portion of the capital allocation strategy remains firmly in place. I’ll now turn it over to Greg for the financial details on the quarter and our outlook for the second quarter.
Greg Beecher: Thanks, Mark, and good morning everyone. I will start with some brief comments on the start to the year, our 2016 key goals, and then I’ll cover the first-quarter results and second-quarter outlook. 2016 is off on very solid footing, with first-quarter sales of $431 million, up 26% from the first quarter of a year ago and up 34% from the first quarter of two years ago. Our expanded semi-test market share position, coupled with rising mobility tester demand, and the more recent addition of Universal Robots in the fast-growing cobot space, have us well positioned for growth in 2016. We have worked very hard to position ourselves for growth, after two sequential years of sales over $1.6 billion. The addition of Universal Robots, continued market share gains in our core businesses, and a greater shift in our competition programs to performance-based pay with an emphasis on growth are all part of the equation going forward. Having built a solid profitable core, we’ve upped the focus on EPS growth through top line growth. As we’ve outlined in prior calls, we expect a greater leap forward in mobility performance and complexity this year, following the every-other-year pattern of incremental complexity changes in odd years and step function changes in the even years. This tick-tock pattern of complexity jumps, along with advanced packaging changes, is driving up 2016 tester demand. The demand increases has us investing material supply and modestly investing capital to expand our test and calibration fixtures, to increase our maximum UltraFLEX shipment capacity by upwards of about 20% over prior peak levels. Our systems test group is also off to a good start, with all three businesses, storage test, defense and aero, and production board test are operating at model profits or better in the first quarter. Last year, we made the successful pivot of storage test into cloud and SSD testing, and expect good long-term performance looking ahead. Defense and aero is showing early demand improvement, with its highly quarterly bookings since the fourth quarter of 2014, with the much improved DOD budget environment. Production board test scored strong demand with automotive customers and delivered strong bottom line performance. Shifting to wireless test. We’re clearly in a near-term challenging market. You may have noticed reported industry weakness in this space, as the wireless test market remains a crowded space, and it’s in a lull between technology inflexions. I’ll talk more about this later, along with our plans to keep LitePoint contributing to our profitability. Our industrial automations cobot leader, Universal Robots, is off to a good start, with first-quarter sales of $16.7 million, up 58% from its first-quarter standalone results in 2015. Originally, UR’s first-quarter sales broke down 45% in Europe, 30% Americas, and 25% in Asia. We expanded our footprint by entering two new regions, opening up seven new offices, and adding over 20 new distributors in the first quarter alone. This expansion will continue, along with new, more advanced certification programs for system integrators, to accelerate their skill level with UR products even more quickly. Shifting to the Company level, we paid $12 million in dividends and used $28 million to buy back 1.5 million shares, at an average price of $18.81, in the first quarter. This leaves us with $172 million remaining under our $500 million stock purchase authorization, which was approved at the beginning of 2015. Also, through some tax planning, we grew US cash and marketable securities to $461 million, up $41 million from Q4, despite the normal Q1 payouts and annual incentive compensation programs and various tax payments. Our total cash and marketable securities balances of $975 million was down by $33 million. I’ll now comment on the key 2016 goals and some of the important trends. In semi-test, it’s a familiar story. The key goal is to secure selective share gains a point or two from targeting healthier segments and the growing customers. We do this with differentiated features that offer both superior costs of tests and a programming environment that accelerates our customers’ time from tape out to volume production. We also avoid the commoditized and no growth sectors. The bedrock goal of maintaining healthy financial performance both in gross margins with annual material cost-down programs, and lean OpEx with ongoing productivity improvements, continues unabated. If you contrast our semi-test performance with our largest peer, which together captured nearly 90% of the total ATE market, you will see that the major differences is in our OpEx efficiency. This comes from multiple strategic decisions, such as maintaining your fewer test platforms, offering superior product software, enabling us to invest less in costly application engineering, and optimizing our operating model across all areas, including placing some G&A functions in low-cost regions. Moreover, we’ve established a culture that constantly finds leaner ways to operate. We, of course, will continue to look for further opportunities to improve our semi-test returns. Before I get to the other test businesses, I want to first cover UR, which clearly is a big part of our long-term growth plan. As part of staying on the 50% or better annual sales growth trajectory, we’re focused on further developing and strengthening the UR ecosystem, so watch for further announcements geared to third-party developers. We will also continue to grow our system integrators and distribution channel partners, while strengthening their capabilities through various development programs. While today, our competition tends to be labor or custom automation players, we fully expect to see other cobot players enter the market. So we are keen to establish a further lead in UR’s ecosystem, making it easier for customers to choose UR or making it hard for a new entrant to catch up. Recall, quickly, the major advantage that UR brings to cobots is making programming and re-training very easy to do, so that UR cobots can be quickly deployed and re-purposed by the small- and medium-sized enterprise, or SMEs. The overwhelming majority of UR cobots sold today go to SMEs. Third-party estimates are that there are thereabout 6 million SMEs that perform 70% of worldwide manufacturing. So the range of task that can benefit from UR’s automation is staggering, and should only grow, with labor costs rising. We also expect to see larger companies move more aggressively to cobot deployments, well beyond be on the current automotive sector and the other earlier adopters. Turning to healthy UR in some of these account opportunities, particularly with electronics manufacturers. While lowering manufacturing cost is the high-level benefit of cobots, the specific purchase drivers vary by customer in the industry, and include rising labor costs, skilled labor shortages, demand for greater flexibility, and numerous other benefits. We’ve included an accompanying slide that provides a view of the breadth of benefits customers in different industries see with our cobots. Moving to systems test. The key goals are to expand our storage test penetration in the SSD market with our automated platform, grow defense and aerospace with our recent expansion in avionics bus testing, and gain share in high panel count applications in production board test with our dual head tester. Of course, maintaining model profits across the portfolio is a given. Shifting to LitePoint, we operated with good margins and profitability in the soft 2015 period with our production optimized testers. However, this year will likely have even greater headwinds, with new technology retooling at a low point. In 2017, we expect two new Wi-Fi standards, 802.11ad and 802.11ax, to provide a needed market lift. Later in the decade, we expect Wi-Fi cellular will begin to materialize, driving additional new tooling buys. Now a reminder on 2016 capital allocation plans. We plan to buy back a minimum of $100 million, and up to $200 million of our shares, while returning about $15 million in dividends to shareholders. Our cumulative capital return with the buybacks in dividends, over the last five quarters, totals $391 million, and has brought our US cash and marketable securities balance closer to the minimum $300 million level. We’ve also lowered our share account by 6% since the start of the program in early 2015. Now moving to the details of the first quarter. Our sales were $431 million, the non-GAAP operating proper rate was 18%, and non-GAAP EPS was $0.31. We had one 10% customer in the quarter. Gross margins were 53%. You’ll see our non-GAAP operating expenses were $153 million, up $12 million from the fourth quarter, due to higher variable compensation accruals on increased profit levels and expansion of Universal Robots’ distribution programs, and engineering NREs tied to new product. Moving to the segment level details, semi-test bookings were at $306 million, after record fourth-quarter bookings of $408 million, with demand principally driven by mobility. SOC test orders were $274 million, and memory test orders were $32 million. Semi-test service orders were $64 million of the total. Semi-test sales were $340 million in the quarter, with SOC making up $323 million and memory test the balance. Semi-test service revenue totaled $58 million in the quarter. Moving to systems test, orders were $46 million in the quarter and sales were $54 million. Shifting to wireless test, we booked and shipped $20 million in first quarter in a tough demand environment. At UR, orders in the first quarter were 18 million and sales were $16.7 million. Sales for the second quarter are expected to be between $510 million and $540 million, with a non-GAAP EPS range of $0.46 to $0.53, on 205 million diluted shares. Q2 guidance excludes the amortization of acquired intangibles. The second-quarter gross margin should run between 53% and 54%, up slightly from the first quarter due to higher volume, and total OpEx should run from 30% to 31%. The operating profit rate at the midpoint of our second-quarter guidance is about 23%. I should add that as we noted in January, we plan to continue scaling up UR’s distribution to capture more of the high growth available, which should add a few million to our quarterly OpEx run. Elsewhere in our test businesses, we expect full-year spending to be flat, apart from normal changes in variable compensation tied to profitability levels. Shifting to taxes, our full-year tax rate is expected to be about 17%. We start 2016 above the prior two sequentially strong years, driven by SOC’s test strength and the addition of Universal Robots. Combine this with ongoing healthy performance in our other core test businesses, and you have the ingredients to another sequentially strong year. Longer-term, our added diversification to multiple end market drivers such as mobility, automotive, cloud storage, wireless, defense and aero, Internet of Things, and industrial automation should provide less year-to-year volatility. We’re also buyers of our stock again this year, and remain on a path of $2 annual EPS in the foreseeable future. With that, I’ll turn the call back to Andy.
Andy Blanchard: Thanks, Greg. Amy, we would now like to take some questions. And as a reminder, please limit yourself to one question and a follow-up
Operator: [Operator Instructions] Your first question comes from Krish Sankar.
Krish Sankar: Yes. Hi. Thanks for taking my question. I had two quick ones. One is on the associate test market. You guys are maintaining the Ultra. How much of the $2.1 billion to $2.5 billion is mobility? And is it fair to assume to 10% plus in growth rate this year bakes in some of the on the pull-in of the autos you saw in 4Q? And I also had a follow-up.
Mark Jagiela: Yes, so the pull-ins that we saw in the fourth quarter in bookings certainly ship off in this fiscal year. So part of what’s driving the market growth this year is a consequence of those order pull-ins. In terms of what percentage of the total SOC space is represented by mobility, roughly speaking, $1 billion or so of that market is tied to mobility devices.
Krish Sankar: Got it, that’s very helpful. And then as a follow-up, based on your current Universal Robots infrastructure in Denmark, how much revenues can it handle before you need to add more CapEx to it?
Mark Jagiela: The facility, and the line, we could go easily four or five years before we need to think about another facility. I should add that the assembly times are rather quick, in terms of labor hours. It’s a very lean model with the way it’s been set up. So we’re very comfortable that facility can scale for years to come.
Krish Sankar: Got it. Thank you.
Operator: Your next question is from Tim Arcuri.
Tim Arcuri: Thanks. I had two. I guess the first obvious question is, we been talking about the on-off pattern now for a while. So is there any reason why this would change, looking at the next year? This year is clearly an on year, but is there any reason why next year wouldn’t be an off year? It seems like maybe Apple is not shrinking this year, so maybe there’s some effect where a lack of a shrink this year could make next year a bit better, if that dynamic were to shrink next year? But I’m just wondering if you…
Mark Jagiela: Yes, it’s a good question. And one of the things, if you recall, we saw last year, in 2015, even though it was a traditionally off year, was a lot of complexity growth in devices that buoyed up, certainly, Teradyne’s business. And being heavily concentrated in mobility, that was a welcome change. So as we look into 2017, there’s a couple things going on. The complexity growth appears to be on track to run at a higher rate than in a normal odd year. And there’s a shift to new lithography nodes that we haven’t seen this year. So going to 10 nanometer, as an example, will bring with it some yield learning that will increase test intensity for a while at that node. So there’s a couple things like that, that are coming in semi-test for 2017, that are promising. Outside of semi-test, as we think about LitePoint, we think that 802.11ad will begin showing up in some of the consumer products, and that will also drive some tooling due to technology that we haven’t seen for a couple of years in LitePoint’s business.
Tim Arcuri: Great, thanks for that. And then I guess a question for Greg. Greg, the gross margin guidance is pretty low, given the revenue. It looks a lot like 2014, frankly. But the mix, it doesn’t look that much like 2014, because then you had a lot of digital test. So I guess I’m just wondering what’s going on to drag down gross margin in June?
Greg Beecher: Tim, the mix this year, and to date, is actually quite similar with the prior two even years, 2014 and 2012, where we were about 50% those two years. And this is the year where you have the large concentrated buyer, and that’s happened every even year. So it’s actually quite consistent with what we would have expected. Now, we have some other businesses in our mix of portfolio that are down, such as LitePoint, so we’re losing a little bit of otherwise margin contribution there. But principally, it’s the semi-test mix of customers, and their relative size, that’s driving the percentage back to the same number it was in the prior even years.
Tim Arcuri: Got it. Okay. Thanks so much.
Operator: Your next question is from Mehdi Hosseini.
Mehdi Hosseini: Yes, thank you. It’s actually Mehdi Hosseini. Just as a follow-up to the previous question, isn’t that a little bit premature to even think about 2017? And some of the maybe disappointed with booking has to do with a constant traded mix of customers with semi-test. And it got pulled in, and that’s just a reflection of the increased concentration among your customers, especially on the SOC side?
Greg Beecher: Look, I think if you want to drop the markers down just between January 1 and March 30, you will see that phenomenon. But if you look at the total buying for this tooling cycle that started in Q4, and put the two together, we’re certainly running ahead of the last period’s tooling cycle. So that’s the way I think about it is, it just so happened we got to an earlier start on the order rate, something we’ve been working with our customers to encourage for quite some time, to get a more orderly shipment stream. So I think it’s a positive effect this year, that we started sooner and have been able to deploy. So if we look at the first two quarters of shipments, again, we’re up over prior periods by over 10%. So it’s all – similar to what we predicted.
Mehdi Hosseini: Let me rephrase the question. In the previous call, you talked about building $100 million to $200 million of inventory for one customer. Was that a turn business that helped you with upside to the revenues, and adversely also impacted your booking that would be shipping in the later quarters?
Mark Jagiela: Mehdi, around fourth quarter each year, we’ve – particularly approaching the even years, we build up the inventory pipeline. So there was nothing different going into this cycle than in prior cycles. And I did say earlier, on the gross margin, there’s a concentrated large customer and they get better pricing. And again, we’re ahead of where we’ve been in prior years for the first half. So the second half, too early to really talk about. We don’t really have a good picture of that. But the first half, very good start, and it’s been playing out the way we expected. The only real soft spot in the portfolio was LitePoint. Apart from that, the other – the businesses are all doing well.
Mehdi Hosseini: Got it. And then one – and then the second question, with your Universal Robot, I understand the growth opportunity, and – but maybe I joined the call late. I quite didn’t understand why revenues were down in the first quarter?
Greg Beecher: Each first quarter, Mehdi, UR’s sales, the last three years, consistently dropped in the first quarter. They have a very strong fourth quarter. In fact, each year, first quarter is the low quarter and it builds sequentially, and then there’s a very strong fourth quarter. Now, there’s a whole set of reasons why fourth quarter is – for purchases can be strong, including end of budget money or other sales programs drive that last product or two over the finish line. So it’s following the same pattern as the past. And typically the fourth quarter, just to give you another reference point, the fourth-quarter sales tend to be more than 2 times what the first quarter was, in the last three years. So the first quarter was what we were expecting. It’s tracking to the 50% or better sales growth line. We would expect the other quarters to do the same. And then for the full year, we would expect to be 50% or greater. But again, it’s going to build throughout the year and have a strong fourth quarter, is our expectation.
Mehdi Hosseini: And since this is a turn business, we don’t really see it in booking? You build and ship…
Greg Beecher: Correct. You’re absolutely right, Mehdi. We have very little visibility.
Mehdi Hosseini: Got you. Thanks so much.
Operator: Your next question is from Steven Chin.
Steven Chin: Yes, thanks. Just question on the March quarterly orders for standout technology. Do you think there were any semi-test orders for standout technology in the March quarter? And do you still think you may see test equipment orders from Teradyne for further standout technology at some point this year again?
Mark Jagiela: So rather than speak specifically to one technology, I’d say that for advanced packaging applications, Q1 certainly saw significant orders, and we expect that to continue in Q2. Again, there’s a cycle that goes on across – and this year, it will be three quarters. So Q4, Q1, and Q2 will have a significant amount of orders related to advanced packaging.
Steven Chin: Okay. Thanks, Mark. And then just a follow-up question on semi-test equipment sales to customers in China. We’re hearing about a lot of the front-end equipment suppliers having pretty good shipment visibility to customers in China. Do you think there needs to be more back-end test investments made in China to support this eventual front-end fab build-out that’s going on in China? Thanks.
Mark Jagiela: Yes, that will absolutely occur. It will occur much closer to production ramp. You’ll see, in other words, the lag between front end and back end. On the other hand, there are some significantly large semiconductor companies in China already that have been driving a reasonably good amount of tester capacity. It just tends to be off the China shore, in Taiwan and other places. So eventually, the combination of local fabs growing, and I would say an attempt to repatriate some of the capacity that’s offshore for test, it’s probably a good year and a half to two years before it starts to register, but it will register and show up on the radar as a big, concentrated buying center. And about that time frame is my estimate.
Steven Chin: Okay. Thanks, Mark, for sharing.
Operator: Your next question is from Farhan Ahmad.
Farhan Ahmad: Thanks for taking my question. My first questions regarding a comment you made earlier on the call that your Q1 to Q3 should be more stable revenue levels. And I just wanted to understand, like do you have any visibility to the third quarter? Given that your revenues have normally declined somewhere between 1% to 15%, quarter on quarter? Does your commentary imply that this year, the sequential decline in September quarter would be a lot lower?
Mark Jagiela: No. It doesn’t necessarily imply that. Although we do have some visibility into third quarter, it isn’t perfect. And I think the way I would tend to think about it is, we’ve had $100 million increment in the first half of this year, in terms of revenue. The second half of the year, at this point, in our view, is not going to be significantly different from other second halves. So really, it’s just, again, this front loading of more capacity. So the year is up, and it’s spread out over two quarters and the orders are spread out over three quarters.
Farhan Ahmad: Got it. And then second question, just longer-term. How do you see the margins in the business? If I compare your margins from, say, 2010 or 2012, even at the similar revenue level, it seems like your margins are down a bit. So given that semi-test is so consolidated, like why shouldn’t margins be higher in this business?
Greg Beecher: Yes, when you look at margins in some of those periods, like 2010 in 2012 – let’s take 2012. 2012, you had a very strong year of LitePoint, with extraordinary performance. LitePoint grew from $130 million of revenue in 2011 to $289 million in 2012. So when a business grows that fast, the gross margins are super-attractive. So we had that in 2012, so that wasn’t a semi-test issue – story. When you go back to 2010, we actually had fewer businesses. In 2010, we didn’t have Universal Robots, and Universal Robots is consistent with the Company model. But as you get more sales with the new business, you’re also bringing their fixed manufacturing costs along, verses if those additional sales were for semi, they drop through more profit. If you look at our margins over a longer period of time, you generally see, in the even years, we’re 54%, in the odd years, we do better. There’s nothing that I’ve seen that would cause us to deviate from about this range that we’ve been experiencing. We have ongoing programs to introduce new instruments that are more competitive, and we have material cost-down programs going on at the same time. So I think we’ve got a track record, over a number of years, of taking action so we can stay within this range of healthy gross margins in the 53%, 54%, 55% range, with some fluctuation based upon mix.
Farhan Ahmad: Got it. Thank you. That’s all I have.
Operator: Your next question is from Patrick Ho.
Patrick Ho: Thank you very much. Mark, you mentioned that you saw a pickup in J750 sales. Was this related to an industry pickup in the Chinese low-end midrange smartphone market? And what kind of device specifically did you see this pickup in?
Mark Jagiela: Yes, so I wouldn’t specifically attribute it to China low-end smartphones. The J750 is – serves such a wide set of markets that it really was a general pickup across a lot of different spaces. Certainly part of it is mobility, but automotive is another piece of that, some consumer IoT-type applications would be another. So it’s a broad spectrum.
Patrick Ho: Great, that’s helpful. And maybe just going to the UR business for a second, you mentioned that you’re now starting to see, I guess, some of the traction related to both your systems test and the wireless test type of applications. How much do you see that contributing to revenues for 2016 as a whole?
Mark Jagiela: Yes. That’s hard to prognosticate. I’d say it’s going to be a minor piece of the 2016 revenue. We’re just starting installations now, so – and then those will go into some sort of evaluation period. So this year, not consequential. In out years, it will increase. But as we’ve said before, even over four or five years, the piece of revenue synergies we get from Teradyne customers, and the total UR business, will be relatively small, less than 10% of their business.
Patrick Ho: Great. Thank you.
Operator: Your next question is from Weston Twigg.
Weston Twigg: Hi. Yes, just a couple of quick questions. First, just wondering if you could help us understand your growth expectations in the SSD test segment? And did you say that you still expect systems test to be down year over year, this year?
Mark Jagiela: Yes. Systems test, we didn’t speak about the full year, but systems test, particularly storage test, had a very good year last year. We expect that to be down this year, but still operating at model profits. So that would be down. Production board tests, flattish, maybe a tiny bit of growth. And mil-aer, a little bit of growth. So the total isn’t going to change much, but likely down a bit due to storage test, with healthy profits. Was there a second question, Wes?
Weston Twigg: I was wondering if you could give us a little color on SSD traction? And then I did have a second question, which was on your expectation for wireless test to market share?
Mark Jagiela: SSD testing, we have an automated asynchronous test platform. So it has significant benefits versus a manual an oven batch platform. We’re speaking to a number of customers about transitioning to a more automated asynchronous test strategy. It’s quite early to figure out how they will shake out. There’s certainly interest. Some of these customers have internal solutions that probably won’t scale well, but it’s what they have and are familiar with now. So I think we need probably another couple of quarters to figure out where these things shake out. But we do see we have a product that probably can help them as they move up in volume in SSD.
Weston Twigg: Okay. And wireless test market share expectation?
Greg Beecher: Wireless test market share? This is – it’s going to be hard to figure that out. We’ve been gaining a little bit each year. This is going to be more a year of, who’s buying? It’s going to be in the low end of the range that Mark mentioned earlier. And it’s really, who’s situated with whoever is buying? So I think this is really, if you found the right watering holes, you are going to do well. My guess is we’ll be flattish, but it’s early to really be specific. Some of our accounts that we’re strong may be buying less than they were in the past, so they may have a low year and then come back next year. So in market share, probably is not going to be great for us this year, but if it could be looked at over a trend line, there’s a good story to be told.
Weston Twigg: Great. Thank you
Operator: Your next question is from David Duley.
David Duley: Yes. Thanks for taking my question. Just a couple questions. First of all, if you could just help us, where do you think you finished off 2015, as far as SOC market share? And where do you think it will finish 2016, given the dynamics going on in the mobility sector.
Mark Jagiela: Yes. So the official-official third-party results aren’t in yet, but our view of SOC share last year is in the sort of 50% range. And for this year, we’re looking for that to be roughly up 1 point.
David Duley: Okay. And given you have 50% – let’s just say a range, 50% to 55% share of the SOC test market. How does Teradyne get to $2 in earnings? It seems like you’ve already got most – maybe you can gain more market share, but what are the key levers that the Company needs to achieve to get to $2 in earnings?
Greg Beecher: Yes. There’s a couple of ways to get there, but the most direct path is further share gains and some market stabilization in semi-test. My estimates would be that would probably be the single biggest piece, SOC and the market stabilizing. Two is, Universal Robots is another big piece. Then there’s a third bucket. It’s all the other businesses and share buybacks. Those three things can get us to $2
David Duley: Okay, and just to frame that, I think I understand how the robot business will help you get to $2, right? With the growth that you expect, it might add $0.05 or $0.10 of earnings every year. But what conditions do you need in the SOC test market to get to a $2 number? Because it seems like you have an on year this year, right, mobility spending is strong. So I guess, what needs to change in the SOC test market for you to get to $2?
Greg Beecher: Yes. I’m not saying the SOC market, we could get there by itself. We need UR and these other actions. But the SOC market, we certainly can, if we stay in our trend line of picking up 1 point or 2 a share a year. And the market has shown some healthier signs, despite all the confusion that’s out there are sometimes, there’s much more complexity and slowing parallel tests. So what we really need? We need a market that probably is flat to 2% growth, and we need 1 point of share gain a year. If we had those two things, with UR and these other actions, we get to $2.
David Duley: Okay. Thank you very much.
Greg Beecher: Yes.
Operator: Your next question is from Sidney Ho.
Sidney Ho: Hi. Thanks for taking my question. I just want to follow up on the gross margin side of the questions earlier. So obviously, you didn’t get a big uplift in gross margin in Q2. How should we think about gross margin in the second half, when revenue is typically lower. And finally, is gross margin below the operating model in the even years the right way of thinking about it?
Greg Beecher: I think that’s probably a fair way to think about it. In the second half of the year, I think what you’d expect is, when volumes typically come down, the gross margin percent shouldn’t come down as much as it would otherwise, because the mix in the first half of the year is working against us. That mix probably will not be as strong in the second or latter part of the year. So I think gross margins in the second half of the year will hold up better than you might otherwise expect, based upon the volume drop.
Sidney Ho: Okay, that’s fair. Second question, I’m hoping that you guys can give us some help in terms of modeling second-quarter orders. Clearly, if you add up the last two quarters, you’re up more than 10% year over year. So to get to the midpoint of your SOC market forecast, let’s just say you’re in line with the market. Does that mean second-quarter orders should be up 10% year over year, and hence up 40% to 50% sequentially? Is that the right way thinking about it? Or there is some other offset?
Mark Jagiela: As you know, we don’t guide quarters. What I would say, though, is that for the year to play out as we’ve described it earlier in the call, with the second half being similar to prior-year second halves, then the second-quarter bookings would be to be up over first. But that’s about as far as I’ll go with it.
Sidney Ho: All right. Thanks.
Greg Beecher: I’ll quickly add, our customers have wide ranges now, this early in the year. So it really depends upon where they end up in their plans, and therefore what ripples back to us. So there’s still some pretty wide ranges as to what can occur.
Operator: There are no further questioned at this time, sir.
Mark Jagiela: Great. That’s the end of the call. Thank you for joining us. We look forward to talking to you down the road.
Greg Beecher: Thank you.
Andy Blanchard: Thank you.
Operator: Thank you for participating in today’s teleconference. At this time, you may all disconnect.